Vittorio Colao: Thank you, operator. Good morning, everybody. Welcome to our Trading Update for the First Quarter 2017-2018. I am here in Italy, Nick Read is in London. Hopefully, everything will work smoothly. I will take you through the highlights, as always; and then, Nick will focus on the trading update, after which I will come back to summarize our strategic progress and then we will move to the usual Q&A. So, let’s start on slide three, with the highlights for the quarter, starting on the left. We have made what I would call a good start to the year with 2.2% organic service revenue growth in Q1. Growth improved in Europe to 0.8%, which is really 1.8% excluding regulation and accelerated in AMAP to 7.9%, which as now excludes India. In India, revenues continue to decline year-on-year, but stabilized compared to the prior quarter. The foundation of our business is our network quality and scale in both 4G and fibre. In mobile, we continue to have the best data network in 14 out of 21 markets and the best voice in all of the 21 markets. We’re pleased to have now reached 98 European homes with fibre including VodafoneZiggo here, of which 36 million are on net; this is the broadest footprint of broadband in Europe. This network leadership supports the healthy performance of our growth engines as shown in the central part of the page. First, mobile data started growing 63% supported by ongoing 4G adoption. We are monetizing this growth through the successful implementation for a second year of more-for-more offers in market-to-market and I’ll cover some later. Second fixed, here we added 300,000 new broadband users, maintaining our position as Europe’s fastest growing operator with the solid convergence -- take-up of converged offers. And third enterprise with 1.5 percentage growth led by market share gains in fixed and the strong growth of IoT services. And finally, the last column is perhaps the most important as it illustrates what our customers think about us. Based on net promoter scores, we are the leader or co-leader in 19 markets with a substantial gap versus weaker third place players and I will cover this as well. So, overall, we continue the good work, and this has been a good quarter. I’ll hand over to Nick for the trading update.
Nick Read: Thank you, Vittorio, and good morning everybody. Let me take the opportunity to remind you that as in Q4, the numbers in our statutory reporting exclude India following the merger announcement with Idea. Of course, as previously commented, we continue to disclose India’s operating KPIs and financial performance. VodafoneZiggo will report its full quarterly results in early August. So, we will not be giving any new information on the JV with today’s trading update. So, moving to my first slide on page five which shows a composition of our service revenue growth. I’m pleased to confirm the all three of our growth drivers, mobile data, convergence and enterprise are performing well during the quarter. In aggregate, these are allowing us to gain profitable, total communications revenue market share in most of our major markets. Excluding regulatory drags, our European consumer mobile business is delivering modest growth, reflecting our success in delivering more-for-more commercial actions for the second year in a row. Emerging market growth, largely driven by data continues to be a key contributor, reflecting excellent performance across our footprint in AMAP. Our momentum in convergence remains strong with base growth of 1.5 million customers during the past year, supporting revenue market share gains in fixed line and TV. And in enterprise, we believe we have continued to outperform our international peers, reflecting share gains in fixed along with good growth in AMAP. As you see on the right of this chart, these good performances were partially offset by EU roaming MTR regulation. In addition, our strategic choice to exit MVNO contracts remains a drag, although the decline in carrier revenue is now largely over as we lap the loss margin contracts last year. Moving now to our regional performance on slide six. Our growth has improved quarter-over-quarter in both Europe and AMAP, in part due to the tough comps in Q4, including the unwinding of the leap year benefit during the prior year. However, we did see an improvement in our underlying momentum. Excluding the impact of MTR cuts in Germany and Ireland, and the ongoing drag from European roaming regulation, Europe is growing at 1.8%. Growth in AMAP continues to exceed our expectations with all key markets sustaining or accelerating their performance in the quarter. Meanwhile, our commercial momentum remains robust on a year-on-year basis in our large markets. As you can see in the chart on the right, mobile contract net adds slowed primarily due to the loss this quarter of a large government contract in Hungary and a one-off adjustment in Ghana last year. In broadband, Q1 is always a seasonally weaker quarter and we maintained our strong momentum in Europe with growth in Turkey moderating versus a very strong start to last year. Looking ahead to Q2, we expect the drag from European roaming to peak over the summer quarter together with the increased impact of handset financing in the UK weighing on Q2 growth by approximately a 100 basis points compared to this quarter, as anticipated when we gave our annual guidance in May. Moving to slide seven. Let me briefly update you on our trading momentum in our major European markets. In Germany, we are trading well. Despite a somewhat more promotional environment, our mobile contract net adds improved compared to Q1 last year as we continue to concentrate on direct channels. Our underlying financial performance was similar to prior quarters. The modest reported slowdown in growth to 0.6% reflects the lapping of an accounting change in fixed in the prior year and slightly lower wholesale revenues, reflecting our strategic decision not to offer United Internet discounted 4G MVNO terms. We have just renewed our United Internet 3G agreement for another year and therefore our wholesale revenues will be stable at Q1 levels for the rest of the year. The UK is showing early signs of recovery. Our customer service levels and NPS scores continue to rise and contract churn reduced by 120 basis points. This supported stronger mobile contract net adds and which grew 45,000 after adjusting for the impact of our decision to wind down the Talkmobile brand. I said in May that our underlying UK performance in Q4 was closer to a 3% decline, given a number of tough comps. And we improved on this in Q1 with a 2.2% decline excluding the impact of handset financing. This reflected the benefit of RPI-linked price increases in mobile along with the better inflow mix of high-value customers. I continue to expect the UK broadly to stabilize during H2 on an underlying basis. Handset financing will be an increased drag going forward on reported service revenue but a benefit to EBITDA. The competitive environment in Italy continues to intensify with half our prepaid gross adds now coming from below the line activities as much higher proportion than usual. Thanks to our advanced data analytics capability and personalized more-for-more offers, we’ve reduced subscriber losses compared to last year with our active customer base remaining broadly stable quarter-over-quarter. Meanwhile our strong momentum in broadband continues. Revenue growth was resilient around 3%, supported by good ARPU growth and strong fixed line momentum. However, this is a modest underlying slowdown after adjusting for the leap year effect which dragged Q4 by circa 1 percentage point. Looking forward, there’s a drag of around 200 basis points next quarter as we lap the remaining benefit of 28-day billing in addition to the intense competitive environment. In Spain, I’m pleased with our execution of this year’s more-for-more initiative we implemented slightly later than last year which accounts for the modest slowdown in underlying growth. But as you can see from our healthy net add momentum, we saw less churn and no negative impacts on NPS. Looking forward, we expect this drag from handset financing to disappear by H2, supposing an acceleration in reported growth. Although the low end of the market remains promotional, our launch of converged offers with the Lowi brand are a targeted response, allowing us to capture share in the segment of the market where Vodafone has historically under-indexed. Moving to AMAP on slide eight. You can see that our performance has remained stable or improved in all major markets. Vodacom reported its results yesterday. So, let me simply say, we’re very pleased that given an increasingly tough economic environment, Vodacom South Africa continues to deliver excellent results, a remarkably consistent 5.6% growth performance. Clearly, at some point, we would expect a modest drag from the weakening economy, which is now in recession. Growth in Vodacom’s international markets also recovered sharply during the quarter as we lapped the customer registration issues we faced a year ago. On Tuesday, Vodacom shareholders approved the proposal to contribute Vodafone’s 35% interest in Safaricom to Vodacom in exchange for shares. This simplifies our sub-Sahara operations and post-closing in early August, our stake in Vodacom will increase from 65% to approximately 70%. Finally, our commercial and financial performance in both Turkey and Egypt remained very robust. Turning to India on slide nine. The environment remains intensely competitive with incumbents responding to Jio’s 1-gig-a-day plan offers during the quarter. And therefore the market situation remains fluid. On a year-on-year basis, their growth continues to weaken but importantly on a sequential basis, revenues stabilize as we have anticipated in May. This stabilization is the outcome of two opposing dynamics. On the one hand, although we continue to retain our high-value customer base, we’re doing so with larger voice and data bundles. This weighs heavily on ARPU, especially in postpaid and has contributed to a doubling of data usage quarter-on-quarter. We’re managing the significant increase in data traffic by concentrating our capital investment in our leadership circles at a high-teens level of capital intensity to ensure we continue to gain revenue market share. On the other hand, as you can see from the chart on the bottom left, in the lower end of the prepared market, the shift to unlimited voice prepositions, means that we are gaining both share of customers and share of usage from smaller discount players. This supports a stabilization in our prepaid offers. In aggregate, small value players -- these lower value players lost 3.6 percentage points of revenue market share in fiscal Q4 compared to the prior year. Looking forward to Q2, we expect both of these trends to continue. It should be noted that Q2 is seasonally weaker than Q1 and in addition, the recent instruction of the new Goods and Services Tax, 18% for the telecoms industry compared to 15% previously will also drag on our sequential performance. That being said, we are encouraged that Jio has begun to harden its pricing, moving last week from three months for the price of month to two months for the price of one month. Clearly, continued progress in this direction will support a recovery later in the year. And with that, let me hand back to Vittorio to walk through our strategic progress during the quarter.
Vittorio Colao: Yes. Thank you, Nick. I will quickly update you now on a few strategic progresses. First of all, slide 11. Slide 11 shows how we are monetizing our leading customer experience. On the left, you can see a key major of consumer preferences, our net promoter score. The chart shows that on average, we continue to remain ahead of the next best competitor, which is typically the incumbent, competing like us on network quality. But more importantly, the chart highlights the wide gap to the third player, who typically competes mainly on price. This is clear evidence of a two-tier market in terms of user experience, which allows us to charge a minimum price compared not necessarily to the incumbent but definitely to the discount players. The gap reduced slightly this quarter which is not surprising, given the pricing changes we have made in several markets. We expect NPS scores to recover in the coming quarters as we saw last year. A key driver of our NPS is network quality and we continue to have the best mobile data network in 14 out of 21 markets and the perfect score of 21 out of 21 in voice. Moving to the right. The successful implementation of our more-for-more prepositions in multiple markets has supported reported consumer ARPU. And underlying consumer ARPU is now improving in all four of our key European markets, once you adjust for the drag from handset financing and NPS [ph] and this is an important statistics. Moving to slide 12. Key engine for our success is a strong customer appetite for mobile data. 4G users, which are shown in the blue bars from the left side of the page, continue to grow very rapidly, up 30 million over a year to 83 million. 4G usage is much higher than average, just 2.2 gigabytes per month. And as you can see from the red line on the chart, this is driving up the average usage which reached 1.6 gigabyte per month across the group compared to around one, a year ago. Including India, this drove 76% year-on-year data growth this quarter. On the right side of the slide, you can see the key dynamics which we think will characterize the next phase of data growth. First of all, around 60% of all data traffic is generated by video or social and music apps which are becoming of course increasingly popular. Second, the quality of our 4G services now exceeds Wi-Fi, both in terms of speed and in terms of latency. 25% of our 4G sites now in Europe have carrier aggregation which provides peak download speeds of 300 to 800 megabit per second. So, with 75% of mobile usage, still, we have Wi-Fi rather than the cellular network. We expect to see more Wi-Fi traffic substituted by mobile in the future. And I remember when the 75 was 90 and then 80. So, this is clearly a proof of the high quality and high appreciation of our 4G plus networks. Third, compression techniques are rapidly improving. For a smartphone screen, there is no discernible loss of quality when receiving videos at 480p resolution. This on the other hand reduces dramatically the load on the network, allowing us to manage large increases of data traffic cost in a very effective way. And finally, our market research shows that a majority of customers want worry-free usage but the current industry way of pricing which focuses on gigabyte is confusing to some users. And so, we need to find a smart and easy way to address this. And slide 13 shows how we are addressing this opportunity and the same time improving data monetization through a new pricing approach that we have commercially called the Vodafone Pass. Now, this concept is simple. Customers buy passes; these passes worry-free unlimited access to social, music and video application and this will not use their data allowance. So, those specific factors are essentially zero rating ticket, if you want. We have tested this concept extensively, so let me share some of the marketing sites that we discovered. First, the apps are an easier concept to understand than the byte. The consumers feel more comfortable with the concept of all the music that you want or all the video that you want from your favorite app than 10 gig, 5 gig, 7 gig. In turn, this reduces their concern about going over the data limit. And the research shows that some low spending users who generate materially higher ARPU using the passes while the high spending users typically retain spend. As a result, we believe that this model can be a win-win for customers and for Vodafone, a better experience for them and higher ARPU for us. And this is opposed to a simplistic unlimited model which could be either too expensive for some or unsustainable for the operators. On the right, you can see our Italian example which is already live and commercial. It’s early days. It’s too soon to give any data on the level of ARPU attrition as the social and chat passes are initially free over the summer and then there will be a chance to opt out. But we are very encouraged that 50% of our new customers in the stores are taking the passes and these are already used by 600,000 Italian customers since the launch, which happened very late in June. We have now launched this pass concept in five markets. This pass is tailored to the local market demand, so the price will vary across the markets. Slide 14, this addresses our progress in fixed and convergence, the second engine of the growth for Vodafone. Our fixed business now accounts for 28% of our service revenues. On the left, you can see that our European engine coverage including VodafoneZiggo, now reaches 98 million homes and 36 million of these homes are reached directly with our own on-net fibre or cable infrastructure. And of course, we continue to look for opportunities to be in the additional fibre coverage, providing the business our return criteria. In addition, we have reached 5 million now homes through strategic partnership which are wholesale arrangements where we have access conditions that are significantly superior to the regulator terms. And over time, we expect the number of homes within such relationship to grow significantly. Let me give you some examples. Open Fiber in Italy is progressing very well, build rate of 30,000 per week. The buildout has now passed 1.7 million homes, around 1.5 of which are marketable for Vodafone. And Open Fiber expects to reach 3 million homes by the end of the fiscal year. Together with that our success in the C and D areas, the long-term coverage ambition now exceeds 18 million homes. But also outside Europe, we announced a new partnership in Turkey that gives us access to 2.7 million homes. Across the footprint, we are also rapidly growing customers, as you can see on the right hand of the page. As Nick mentioned, Q1 is always seasonally weaker but we maintain good growth in NGN customers. The number of on-net customer additions was slightly lower this quarter, which should affect two trends in Germany where the migrations of DSL to cable are beginning to slow; and Spain and Italy where we are adding subs in attractive partnerships. Our customer momentum is overall good. There is significant, however, growth opportunity as on-net customers for Vodafone today represent only 27% of the home passed and off-net presentation is just 2.5%. However, we are not just adding broadband lines. The key strategic objective is to be the long lasting converged fixed and mobile relationship with customers. So if we move to slide 15, you can see our progress in convergence with around 700,000 consumer households other than Europe over the last 12 months in the big four markets, as well as 600,000 other than VodafoneZiggo during the quarter. This takes our total base to 4.4 million, again including VodafoneZiggo. As you can see in the chart on the right, this represents 30% of our broadband base. In May, we disclosed in our results presentation that this does not include around 2 million homes, where we have both broadband and mobile customers but they are not yet integrated, which is again an opportunity for us. If we include these homes, around 40% of our European consumer broadband base and 17% of our mobile SIMs are already taking both fixed and mobile from Vodafone. Clearly, we have made most progress, as you can see in the chart, in the Spain where penetration of the consumer fixed base is now 88% and we see clear benefits with churn rates which are approximately half of the level of the single play product. We will address this product topic in more detail again at our open office in Venice, and this will provide you an opportunity also to see the Open Fiber deployment in person as well as meeting the Vodafone management teams from Italy, Spain and Portugal to see how flexible and how smart our convergence strategy is to deliver good results. Let’s now turn to the last strategic driver of growth, enterprise. Enterprise accounts for 30% of group service revenue. Here we achieved the service revenue growth of 1.5%, which is a little bit down from the 2% of Q4. Growth would have been even higher, if not for the roaming drag, which as you know, has a particular impact in enterprise more than in consumer. The chart on the left shows the key drivers. Mobile revenue increased 0.6%, supported by continued customer growth, particularly AMAP, and a very good and very expanding IoT business where revenue grew 15%. These positives continue to offset price pressure in Europe. Fixed is 30% of our enterprise revenue base. We had a growing challenger in this space with less than 10% market share, so a big opportunity and fixed is growing at 5.4%, benefitting in particular from IP-VPN sales. In the middle of the slide, you can see some of our assets, enterprise assets that support our growth, in particular the IP-VPN network that now reaches 75 countries and 275 PoPs; our market leading IoT services which grew very well I have to say to 59 million connections and clearly the cloud and hosting presence which is now extended to 28 markets. And finally on the right, again our NPS scores show our market leading and improving position. Overall I would say that our enterprise performance is good and reflects probably an outperformance versus our main competitors. So, to summarize on slide 17, I’d say that I’m pleased that we made a good start to the year. We have robust commercial performance and continued underlying service revenue momentum. In Europe, we saw good performances in Italy and Spain in particular. The UK is starting to turn around and Germany is doing well, in underlying terms. AMAP accelerated in the quarter and India is showing early signs of stabilization, although the situation always remains fluid in India. Our growth engines are all delivering. Data growth is strong. Vodafone Pass provides another option to continue to improve monetization. In fixed, we’re taking profitable market share with increased convergence penetration. And finally enterprise continues to outperform its peers. Fit for Growth program to improve efficiency and increase profitability is on track but again we’re not talking about that today, I think that’s for Nick for November. As result, we’re able to reiterate our financial guidance for the year. So, now, we’re ready to take questions. I would like to ask -- I know I will fail but I would like to ask you to ask no more than one question each in order to allow sufficient time to everybody. But again, Nick, and I now are ready for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Akhil Dattani of JP Morgan. Please go ahead, your line is open.
Akhil Dattani: Just a couple -- I’m sorry, Vittorio, I know you said one. I’m going to try and sneak in two already. So, I’ll probably start here in a very bad way. But, just two, one is on roaming. I guess just keen to understand what you’re seeing in terms of early customer reaction to the roaming rate cuts that we’re seeing? Obviously, it’s still early days, I appreciate we’re just five weeks in, but just any color in terms of elasticity in trends would be very interesting? And then secondly, you’ve talked about zero rating, you’ve talked about convergence. Once think I guess we’re just interested in understanding what your thoughts are around family plans, because you’re flagging in your slides that your typical convergence customer is now taking two SIMs, so clearly there’s benefits in terms of the bundling of the customers you’re seeing. Is that something incrementally you also think you could add to the portfolio and could help in terms of your monetization of your customer base?
Vittorio Colao: Akhil, thank you for your two questions. I said that I knew I would fail in asking to have only one question. So, it’s really welcome, both are welcome. So, first of all, on roaming, as you said correctly, it’s early days. I can give you a very preliminary start for whatever it’s worth. In the first 15 days of June, we had around 150% increase of roaming, in second 15 days more than 180%. So clearly, there is a liberation effect. This means that in general between what we did before which was all the marketing activity that you heard from me about many, many times, and the regulatory impact, we expect a big summer of data roaming, but it’s too early to say what the impact will be exactly. In general, we are pleased because it means that customers will use more data and the more they use data, the more they will be used to get data. So, it’s a positive reinforcement. You asked about family plans and linked this to Vodafone Pass; it’s two different things and I would not put them together. Vodafone Pass is our strategy to monetize, if you want, in a smart way some kind of worry-free which we don’t want to call unlimited, but it’s worry-free, but not give it away completely for free. We found in Italy very good acceptance. Of course, the effort here is to have a win-win for both us and the customer gets 3 5 or €10 more and give much more in that category to the customers to reduce pixilation, it also reduces the network load. So that one thing and it is really part of our more-for-more monetization, smart pricing effort. The family plan that you asked is a hotly debated topic. I think here you have to make two distinction -- one distinction. There is two different things here. One is a family discount and aggregating SIMs together and then to a fixed line which we think could be a trend and could be something that we are already offering in several markets. The other one is the shared data allowance. The shared data allowance which was done many years ago by Verizon in the first place is something that is not proving incredibly popular in Europe. We don’t really have a complete understand why, partly it is prepaid, partly it is different way the families work, partly it could be cultural. But I would say that yes, you will see more family aggregations. Whether it will be with shared data plans or not will be depend a lot on local marketing and local understanding of customer needs.
Nick Read: It’s Nick. Just to build on Vittorio’s point, just for avoidance of doubt. At this point in time, on the roaming side, we don’t see anything that changes our view of the 300 million hit to service revenue and EBITDA this year.
Akhil Dattani: That’s helpful, thanks. Can I just ask one clarification? And I presume that the roaming data point, Vittorio, that you gave was on the retail side. I just wondered if there is any color you are willing to give or able to give around the wholesale side of things…
Vittorio Colao: Too early, Akhil. Too early, but I understand why you are asking the question. So, my -- and again, I know Nick is very prudent and doesn’t want me to be too optimistic. I think that he is right. The impact, the financial impact -- we have no new data so we cannot really change our focus. What I see which is positive is positive customer take-up and positive experience for the customers. This in general has taught me, leads into more usage and more appreciation of services. On the wholesale side, I understand why you are asking the question. We are monitoring very tightly what’s going on and especially which country originates the traffic. And we have put in place all the systems to be sure that if you see some anomalies or some abnormal origin, we will act strictly. And that’s what I can say today because I don’t have more than that.
Operator: Thank you. Our next question comes from Nick Delfas of Redburn. Please go ahead. Your line is open.
Nick Delfas: Thanks, so much indeed. Just a quick one on fibre. Could you tell us roughly how many customers are already on the Enel Open Fiber network, maybe including Metroweb? And also on the homes passed. Is that homes passed also into the building or simply outside the building and then you need to, when a customer requests service, get the fibre into the building?
Vittorio Colao: Yes. I’m not going to give you the answer about customers, because it is too early; and the second part of your question, I would say in the building it’s 90%.
Nick Delfas: Okay.
Vittorio Colao: So, I’m here in Italy and I have next to me people who are writing it, nearly 90%. So, pretty good actually. Pretty good and that’s why we are optimistic about the Enel project.
Operator: Thank you. And our next question comes from Andrew Lee of Goldman Sachs. Please go ahead. Your line is open.
Andrew Lee: Yes. Good morning and thanks for the questions. Just I was going to go for two. And if you don’t want, then I’ll leave that to you and you can choose which one. First one is on the UK fixed line negations Openreach. Just wondered if you could comment or just give us any color on whether you are the point where you could commit to a capacity based agreement with BT? And would you need to have a much greater scale of customer base to make this a relevant long-term fixed line solution PA? And then the second question was on eSIM. So, I just wonder if you could give us an update on reviews on that. How close are we from this and this is a positive for you in terms of low distribution costs or negative in terms of low differentiation, what was the balance of those two tailwinds? Thank you.
Vittorio Colao: Yes. Let me start from the eSIM first and then I will -- Nick and I will answer the UK one. The eSIM, we are there. You will see eSIM connected object starting in the second half of the year. I think implemented the way it has been designed by the GSMA is a positive and it’s a positive especially for us on the IoT thing. You remember, we announced that we have started an IoT consumer business that will be commercially now in a data friendly user space. But, we start in the full in several verticals. There are a series of IoT implementations or user cases that do require saving a space and clearly -- and simplicity of management and clearly the eSIM in that case is good. The GSMA solution has also implemented a series of, how can I call it, process element that give operators the control of what happens to the SIM. So, it’s a factor -- replica of the physical process but it’s just remote and digital. So, implemented that it’s way positive. Of course, it reduces the friction, but at the end of the day we’re not here to make it impossible for the customers to switch to another operator. We are here to give the best possible service and the best possible experience. So, I’m more on the positive than on the negative on the eSIM. Nick, do want to take the UK answer?
Nick Read: Yes, just on Openreach. I mean I’d probably widen out slightly to say that we’re having conversations with a number of players. We’re obviously open to seeing what possibility is, whether or not capacity deal a little bit like we have in Germany a contingent type deal or whether it’s a co-build opportunity. I think we remain open. Obviously, we have hurdle rates in terms of the IRR we need to get. I think in terms of scale, I think UK is gaining the momentum on the fixed side because another good quarter performance of just around 30,000 net-adds. So, on a net adds share basis, I think we are performing well in the UK and obviously it would give us further momentum. So, we’re open but this is early days in the discussion and there are clear thresholds that we will set.
Operator: Thank you. And our next question comes from Stephen Howard of HSBC. Please go ahead. Your line is open.
Stephen Howard: I hope you can construe this as a single query about convergence. And so, in the release, you talk about the GigaKombi converge offer getting the traction and you are saying that on average households increasing their overall spend when they migrate. I was just hoping for a little bit of clarification here. I’m assuming what you mean is that when you migrate to customer who is already taking fixed and mobile on separate packages on to an integrated package, you are basically not taking an ARPU hit. I am just wondering how that uplift is working. I mean, is it for instance being powered by selling an additional SIMs or something like that? And the associated question is though is, not merely at a German level but at a group level. If you are really getting attraction on the convergence front, and should we be seeing the total TV households actually growing at a group level rather than flat year-on-year, which is as reported? Thanks.
Vittorio Colao: Yes. Let me take the second part of the question, Stephen, and maybe Nick will give the GigaKombi and German detail thing. The answer is yes, but you cannot expect every quarter to be exactly there. In particular, this quarter on TV, we had a Spanish phenomenon, which is the disconnection and reconnection in correspondence with two things. One, the football season and second the students moving in, moving out of because of the academic years. So, the answer to your question is yes, but of course you have to time it according to the seasons. And sport and moving houses are two things that influence that number. Nick, GigaKombi and Germany?
Nick Read: With the dynamic we are really seeing, if you look at the -- for the moving customer from individual products into a package product, of course there is an implicit discount. But, what we’re seeing is that customers are effectively reinvesting that discount into more product, more data, which is why we see the ARPU tending to go up after they make the migration.
Operator: Thank you. Our next question comes from Simon Weeden of Citigroup. Please go ahead. Your line is open.
Simon Weeden: I wondered if I could ask you to elaborate a bit more in your comment to that exploring fibre build business cases with high IRR thresholds, in particular in the context of figures you’ve given us before for fibre build of say €150 to €160 per home passed in Portugal and Spain, which compares to rather higher numbers we’ve seen in some other markets, maybe £500 and provided by some of your competitors in the UK, maybe a little bit less in France. Is it becoming easier, more possible, more realistic to imagine those countries with higher costs for homes passed bringing those costs for the home passed down and how should we think about this impacting different markets that you’re looking at in terms of where this might be might be viable?
Vittorio Colao: Simon, it’s a very general question, so it’s difficult to give a very specific answer to this. The answer is there’s a lot of activity projects, different subjects looking into the fiberization and there’s many, many solutions. And while in general, I can tell you yes there’s a trend to try to make the build of fiber more achievable -- more affordable, more economic, not everywhere you can achieve the same economics, because of physical constraints. I mean, there’s places where you have that and places where you don’t have that. And that is already a big difference. There’s places where you can dig with certain ease, quick regulations and places where it’s more regulated. In general, what I can tell you as Vodafone strategy, I think what you’re seeing is what I think in the previous results presentation, we called a smart and capital smart flexibility. We’re as Nick said engaging in a number of conversations in a number of countries in order to achieve partnerships or conditions that allow us to be in the game but without having economics that are not sustainable. I see if I can give you my feeling, I see more and more of this coming close to good conditions. Of course, it’s situation by situation, but you -- my prediction is that you’ll see more of these agreements and Vodafone being more part of these build out projects in the future.
Nick Read: I mean just to build on Vittorio’s point, I mean you probably saw that we recently announced in Germany the Dusseldorf pilot with DG, just doing some rollout within business parks, which is an interesting option, business parks underpenetrated in Germany, attractive economics, success based with a partner with experience which lowers the risk. So that would be a good example.
Operator: Thank you. And our next question comes from Robert Grindle of Deutsche Bank. Please go ahead. Your line is open.
Robert Grindle: Something really interesting happened this quarter and that your total revenue growth in European group is now moved back firmly above your service revenue growth. I think that’s the first time in half a dozen quarters or so. I suppose UK handset financing probably is to blame for a bunch of it. But ex handset financing effects, is the handset cycle recovering, what are equipment revenues doing on average, is there any change in the trend away from SIM only back to contract this quarter?
Vittorio Colao: Nick?
Nick Read: Robert, I would say that, not really seeing a big shift. If anything, most of the discussions we’re having is whether handset cycles are slightly moving out and people aren’t renewing as much and SIM-only mix is going up. So, but obviously handset financing in the UK has started. So, we’ll take in offline. I wouldn’t read too much into it, but the IR team can follow up with you.
Vittorio Colao: Yes. Let me say, Robert, what we look at with a lot of attention is the money for us. So, you said, used the word blame, neither the blame nor glorify. What is important is our net intake and therefore that’s what we look at and that’s what I think investors should be interested in, because at the end of the day we’re not here to make Apple or Samsung rich.
Operator: Thank you. Our next question comes from Maurice Patrick of Barclays. Please go ahead, your line is open.
Maurice Patrick: Good morning, guys, Maurice here. A question on the Vodafone Pass launch. I guess first of all, do you see it as a stopgap before you move towards for full unlimited or an alternative? But also I think in the presentation, Vittorio, you talked about India and reprioritizing CapEx towards areas where you were seeing some strong use of data. I mean, do you look across the footprint and think there are areas where maybe investment would be targeted, if you do see usage growth accelerate? Thank you.
Vittorio Colao: Yes, Maurice, a couple of things. First of all, Vodafone Pass is I think another proof that we try to do at the same time what is in the interest of customers but also not give away things for free. Let me give a small comment here. Deutsche Telekom in Germany has done their three-month offer and they just simply added it to existing ARPU. We think that it’s better to try to go in the direction of the customers but in doing that, get a little of ARPU uplift. The fact that in Italy we had 600,000 customers within few weeks, took this option, I think albeit it’s promotional now. I think it’s a sign that there is a lot of demand that is willing to pay something to get a zero rated or unlimited. So, I am not sure I see it as a steppingstone. For sure, it is answering a customer need and trying to monetize on that need. On India, our focus -- don’t forget that we are in approval phase of a merger with Idea. Don’t forget that some of the logic that we illustrated in March was that Idea is strong where -- in many circles where Idea is strong, we are not and vice versa. So, our strategy to concentrate CapEx 80 something percent, Nick showed it in his chart. Our leadership circle clearly reflects also the logic of investing where we are strong. I assume that in the same period they are doing the same. Don’t forget that we had to lose some customers when the merger is approved because in some circles together we exceed the market share cuts for M&A. So, what I would say, we are determined and focused to keep the investment levels where we have leadership and go through the merger. This is the current priority.
Nick Read: And Maurice, just building on your -- you have widened from India to the other countries. You are right to point out the opportunity and it’s something that Vittorio and I and the team have been talking about, which is understanding the cost curve as data takes off as you go through 4G, 4G plus, 5G and understanding yield management of the network with targeted CapEx by region, by area within a country. So that’s absolutely part of that, if you like, digital telco thinking about how we manage our cost base and CapEx allocation.
Operator: Thank you. Our next question comes from San Dhillon of Exane BNP Paribas. Please go ahead. Your line is open.
San Dhillon: Hi, guys. My question is on data analytics that you’re putting to pretty good use in Italy with personalized offers. Is this something that you can expand more broadly to other markets or does the contracted nature of the markets make it more difficult to use the customer information you have? Thanks.
Vittorio Colao: Yes. Thank you for the question. The answer is, yes and we are already, because if you look at what’s going on in South Africa, we look at what’s going in other European markets, the answer is yes. Of course the power and the value that we can extract, depends a lot on the customer structure and the industry structure. Contracts are different than prepaid; high value is different from low value and so on. But for sure, this is the way marketing is going and for sure it’s also a much better way of extracting yields, which are better and better and putting the money where you have return. We looked at some Australia. Australia is another case where we’re using more analytics, and the performance there is great, Portugal. So, more of that and a little bit less above the line big pricing shouts is clearly in the future.
Operator: Thank you. Our next question comes from Jerry Dellis of Jefferies. Please go ahead. Your line is open.
Jerry Dellis: Yes. Good morning. Thank you for taking my question. I have a question on NGN in Italy please. You have highlighted today how you know how 5.0 million NGN homes market for in Italy. And in previous two quarters, you gave us the figures of 4.8 and 4.4. I suppose Enel Open Fiber was activating cities for the first time in the last quarter. I think they turned on parts of seven cities for the first time. And yet, it looks is that your overall NGN footprint was clearly at a slightly slower pace. On the other hand, of course you have guided us to 3 million open fiber homes being marketed, both by the end of the year, which would imply a bit of an acceleration. So, I’m really interested to understand what is going on in terms of the momentum and whether the apparent slowdown last quarter is a real effect or maybe whether things were separately defined? And if I may just tack on one very quick additional point on your wholesale roaming cost. Did you renegotiate the rate card with other operators in advance of the change in regulation in June? Thank you.
Vittorio Colao: I think there is a little bit of confusion. Let me give you the numbers again. Number of homes in Italy, 1.7, of which 1.5 marketable from Open Fiber; this is accelerating, it’s 30,000 per week; it will go up to 40,000 per week. They expect to have 3 million by the end of our financial year. Then if you look on the top of these 1.5, which today are marketable, we have another 3 which are FTTC, so not FTTH, FTTC, the old thing, just perfectly working but of course it’s a different thing. And the rest is VULA that we have from Telecom Italia. So, the Open Fiber and the NGN thing is one thing; the FTTC is another thing. And call it sub-2 million, 2 million, sub-2 million, and then the rest is VULA. Of course, the open fiber will go up to 3 by the end of the year. I hope this clarifies.
Jerry Dellis: Maybe a different way of asking the perhaps and would it be fair to say that the difference between the 5 million NGN that you gave us for this quarter for the whole of Italy, Enel Open Fiber and other types of network; and the 4.8 you gave us last quarter, so the uplift is sort of 200,000. Will it be fair to attribute most of that to Enel Open Fiber or are you continuing to build FTTC on top?
Vittorio Colao: I’m not sure I understand your question. Enel Open Fiber we go to 3 by the end of the year. We have today 1.5 marketable but already 1.7 built. And then we have on top of it, around 3.2 million, something like that which is FTTC, so not FTTH, FTTC that is already in the ground. Clearly, when Enel Open fiber goes ahead, you will switch from one to the other. So, there is an overlap between the two of course. I don’t know. Is this…
Jerry Dellis: Okay, that makes sense. Thank you. Thanks. And then, just on the wholesale price cut in roaming piece?
Vittorio Colao: Sorry. Can you repeat the question?
Jerry Dellis: So, the question is whether in advance of the roaming regulation, new roaming regulation in last June, did you renegotiate with other non-Vodafone operators the price that you pay each other for roaming? So, in other words, looking at your roaming costs, have you negotiated a new rate card which may offset any increase in traffic that you subsequently see in the same sort of way that Telenor appears to have achieved?
Nick Read: I would say that we are constantly renegotiating wholesale arrangements on a, if you like, reciprocal basis. I wouldn’t say that we particularly went through a revised effort.
Vittorio Colao: Keep in mind that for us, I mean we have a lot of on-net for us, so lot of traffic. 90% something of our traffic is internalized. So, it’s not a concern for us; actually it is an opportunity.
Jerry Dellis: Okay, thank you.
Operator: Thank you. The next question is from James Ratzer of New Street Research. Please go ahead. Your line is open.
James Ratzer: I had a question following up on the Vodafone Pass strategy, please. I mean, it strikes me potentially as quite a significant change in your thinking around data monetization. I mean clearly, some potential upside in the near term to ARPU from that. But I’m interested in your longer term thinking about this shift. I mean does this mean you are moving away from the idea of data monetization linked to volume growth? And it strikes me with this move, mobile pricing in the medium term is becoming more akin to fixed line pricing as volume independent, so kind of price rises medium term then become more inflationary. And if I was the last in the queue, a quick follow-up just regarding Italy again on Enel, which seems to be getting a lot of questions. I mean in Germany, I think you are migration from DSL to cable has been slightly slower than you would initially hoped to some customers have been unwilling to have some of their homes rewired. Why would Italy be different in terms of customer willingness to have the homes rewired to FTTH?
Vittorio Colao: My instinctive answer, James, to the second question is that moving from cable to -- sorry, from DSL to cable or from traditional telecom to cable is more complicated than moving from FTTC to FTTH. That’s the simple answer. And don’t forget also that there’s a change of company, if you want, or a different nature of relationships. But that’s an instinctive answer. I think that’s a perfect question that you should ask when you come to Venice, and our teams there will be able to give you a more qualified answer. But my sense is that by definition, it should be more difficult to convince somebody to go from one type of service to the other, rather than staying within the same relationship, simply upgrade and also the way you present it is a simple upgrade. On the Vodafone Pass, this is a very good question. Thank you for asking, because it gives me the opportunity to explain what we’re trying to achieve here. So, what we’re trying to achieve is three things. First of all, there’s a lot of demand for data. As I said, the quality of 4G but even more 4.5G is becoming really much better than Wi-Fi, and we don’t think it is a smart thing to say we have a great network, we have a fantastic quality, continue to use Wi-Fi and use 4G and 4.5G only where you really don’t have Wi-Fi. We want to give customers the choice; we want to attract more users into our own infrastructure where we have it. And therefore, I think it’s part of a trend, but big trend that we are hear seeing. And as I said, we see public Wi-Fi usage going down because 4G becomes good. So that’s trend number one. Trend number two, with the improvement in technology, the cost of handling the gig can go down over time and we can handle much more capacity than before at marginal cost. Then trend number three, we don’t think that that’s simply going unlimited and throwing the towel in and saying we’re going to just use inflation is the right thing. So, we’re trying to apply smart marketing, to try to create win-win situation so that the customer that make it up in Italy was used to spend €12, €13, €14 per month suddenly spends €19, or €20, or €21 and has much more. If this works and if the industry moves in that direction, I think it’s a great potential because there’s much more value to the customers with an uplift potential on ARPU. As I said, early signs, the very early are good. You will see more of these attempts in the future, and if they’re successful, this is good news for Vodafone but also for the industry.
James Ratzer: The next step after that to try to differentiate pricing more based on speed, I mean that’s what we’re seeing in markets like Switzerland, there’s something that you would then consider as the next differentiator?
Vittorio Colao: Listen, we have bright marketing people, we have very detailed analytics. I have -- I mean I’m here in Italy, I saw a super sophisticated system that by individual customer identifies what they’re sensitive to and how many are sensitive to speed, how many are sensitive to quantity, how many are sensitive to coverage. And at individual level we can identify individual customers. And so the more we can cement, the more we can give to each customer exactly what they want, but without going undifferentiated to everybody, the better it is. And I think South Africa where our performance is quite frankly amazing at 5.6% growth with an amazing level of engagement of the customer, but also an incredible ability to deliver daily -- on a daily basis, personalized offers, is probably the poster child of this approach. We want to approach the future of data in this way. And I’m very optimistic personally that this is the modern digital telco as opposed to the old telco that says unlimited and then tries to raise price with inflation once -- every now and then.
Vittorio Colao: I think my colleagues are waving and saying that this should be the end of it. I would like to thank you all for your questions. I think I’d like to reiterate that I’m pleased that we had a good start to the year. Although there are still some headwinds coming from roaming in Q2, the underlying momentum is pretty good and the strategy is really working. Enjoy the summer break. I look forward to see all of you in the industry conferences in September. And I hope that as many as possible will go to Venice to see fibre in action. Thank you very much for your questions. Thank you, operator.